Operator: Good morning and thank you for joining us for RPC, Inc.’s Second Quarter 2011 Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO, and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. And Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you, Mikel and good morning, everybody. Before we begin our call today, I need to remind you that in order to talk about our Company, we are going to mention a few things that are not historical facts. Some of the statements that we made on this call could be forward-looking in nature and reflect a number of known and unknown risks. I’d like to refer you to our press release issued today along with our 2010 10-K and other public filings that outline those risks, all of which can be found on RPC’s website at www.rpc.net. In today’s earnings release and conference call, we’ll be referring to EBITDA, which is a non-GAAP measure of operating performance. We use EBITDA as a measure of operating performance, because it allows us to compare our performance consistently over various periods without regard to changes in our capital structure. We are also required to use EBITDA to report compliance with financial covenants under our revolving credit facility. Our press release today and our website provide a reconciliation of EBITDA to net income, which is the nearest GAAP financial measure. Please review that disclosure if you’re interested in seeing how it’s calculated. If you have not received our press release, please call us at 404-321-2140, and we’ll provide one to you immediately. Now I’m going to turn the call over to our President and CEO, Rick Hubbell.
Richard Hubbell: Thanks, Jim. This morning we issued our earnings press release for RPC’s second quarter ended June 30, 2011. Following my comments, Ben Palmer will discuss our financial results in more detail. I’m pleased to report to our shareholders that RPC once again generated record revenues, profits and EBITDA. Our second quarter achievements are the direct result of our strategic initiatives put in place since 2005 to expand significantly in the service lines we benefit from the tremendous growth and horizontal drilling. Our pressure-pumping, coil tubing, down hole tools, and nitrogen service lines all experienced outstanding sequential improvement. I’m also pleased to announce that RPC’s Board of Directors and they show a confidence in the company’s future performance, increased the quarterly dividend to our shareholders from $0.07 to $0.08, a 14% increase. With that overview, Ben Palmer, our CFO will provide some financial details.
Ben Palmer: Thanks, Rick. For the quarter ended June 30, 2011, revenues increased to $443 million, a 75.2% increase compared to the prior year. These higher revenues resulted from an increasing work and unconventional formations together with capacity increases, improved pricing and better utilization. EBITDA for the second quarter was $164.2 million compared to $85.2 million the same period last year, and operating profit this quarter was $119.3 million compared to $52.1 million in 2010. Our net income during the quarter was $73.2 million or $0.50 diluted earnings per share. Cost of revenues increased from $139.5 million in the prior year to $243 million in the current year. This increase in cost resulted from the higher business activity levels and associated cost including materials and supplies, total employment cost and maintenance and repairs. Cost of revenues for the second quarter as a percentage of revenues decreased from 55.2% in the prior year to 54.8% due to the improved operational leverage resulting from higher revenues. Selling and general administrative expenses during the quarter were $36 million, an increase of 22% over the prior-year $29.5 million. However, because of our ability to leverage these fixed cost over higher revenues, SG&A cost as a percentage of revenues decreased from 11.7% last year to 8.1% this year. Depreciation and amortization were $44.9 million for the second quarter, an increase of $11.5 million over the prior year. This increase is a result of higher capital expenditures to meet customer demands. Our technical services segment revenues increased 80.3% due to improved utilization of a larger fleet of equipment and improved pricing. Operating profit was $109.5 million compared to $46.3 million in the prior year. This improvement was due to higher revenues and the associated leverage of fixed costs. Revenues in our support services segment, which is comprised mainly of our rental tool service line increased by 32.7%. This segment generated an operating profit of $13.2 million compared to $6.6 million last year primarily due to higher pricing and utilization of our rental tools. For eight consecutive quarters, RPC has generated improved revenues, operating profits and EBITDA. This will be some sequential comments here. RPC’s consolidated revenues increased from $381.8 million in the first quarter of 2011 to $443 million in the second quarter, which is a 16% increase, which exceed the average rig count increase of 6.6%. Revenues increased from higher activity levels, additional equipment and to a lesser extent improved pricing. Second-quarter cost of revenues as a percentage of revenues increased from 52.7% in the first quarter to 54.8% in the second quarter. As we’ve previously stated, our operating leverage and margins are being impacted by the increased prices of materials and supplies and higher maintenance and repairs offset by the leverage of total employment cost over high revenues. Looking forward, we will have the ability to benefit from improved pricing on the upcoming contracts, a pass through a certain cost increases under existing contracts, and decreasing discounts on spot work. SG&A expenses as a percentage of revenues decreased from 9.4% to 8.1%. Our SG&A as a percentage of revenues has continued to improve from leverage of the higher revenues. RPC sequential EBITDA increased 12.3% from $146.2 million in the first quarter to $164.2 million in the second quarter, while our EBITDA margin did decrease slightly to 37.1%. Our technical services segment revenues increased 16.4% to $406.7 million, and generated an operating profit of $109.5 million compared to an operating profit of $99.9 million in the prior quarter. Well, most of our service lines within the segment experience continued utilization in pricing improvements. Our pressure pumping business was the largest contributor to the revenue increase, while coil tubing experienced the largest percentage increase. Despite the second quarter strong results, we were negatively impacted by none other things, a decision by one of our contract customers to delay operations during the quarter. And by a fire was to start a portion of one pressure pumping fleet. Also during the second-quarter, RPC experienced an increase in the market prices of certain raw materials seized in pressure pumping jobs, and a job mix change at one of our large pressure pumping locations. This combination of factors as a result of servicing large pressure pumping customers in an environment of fluctuating raw material prices due to increasing demand to get were changing job performance. We continue to work with our customers to improve our mutual profitability, and we will benefit from continued improvements in our pricing. Our support services segment experienced 12.2% sequential revenue increase primarily due to improved demand in our rental tools business. Support services operating profits were $13.2 million compared to $9.9 million in the first quarter. Also during the second quarter, RPCs in-service pressure-pumping fleet increased from 465,000 to 495,000 hydraulic horsepower. All of this equipment went into service under a new committed customer relationship as planned late in the quarter. We expect to place in-service and additional 90,000 horsepower before the end of the calendar year 2011, and an additional 55,000 during the first quarter of 2012. This will result in total horsepower of approximately 640,000 at the end of the first quarter of 2012. Most of the incremental equipment is already under contract are committed to our E&P partners. Of the 640,000 horsepower, approximately 40,000 will be used as rotational equipment to ensure we have the capability to maintain our entire fleet and optimal operating condition, while meeting our customer’s needs. Second quarter 2011 capital expenditures were $111.4 million, and we anticipate spending approximately $400 million for the full-year 2011. RPCs outstanding debt under its credit facility at end of the second quarter was $173.1 million. Our ratio of long-term debt to total capitalization was 21.3% at the end of the second quarter. Also towards the end of the second quarter, we successfully modified our credit facility to reduce our interest rates per head by 50 basis points. With that, I will now turn it back over to Rick for closing remarks.
Richard Hubbell: Thank you, Ben. Our goal at RPC is to achieve outstanding returns on invested capital. We accept the fact that the percentage margins we earn under contracts maybe lower than those earned under spot work. However over time, we are willing to trade the volatility of spot work for the improved predictability of contract work. While the second quarter presented some operational challenges, our experience provided us the framework to deal with these issues and to limit their impact going forward. The second quarter is another record quarter, and we are very encouraged by our current position in today’s market and future business opportunities. I’d like to thank you for joining us for the conference call this morning. And at this time, we will be opened to any questions you may have.
Operator: (Operator Instructions). And we’ll take our first question from Neal Dingmann from Sun Trust.
Neal Dingmann – SunTrust Robinson Humphrey: Morning guys. Good quarter. Say, just two questions. One, you did mention and I understand to continue that most equipment is under contract. Maybe give us idea of kind of percentage if you could, and how long these contracts are?
Jim Landers: Hey Neal, it’s Jim. Little over 50% of the equipment is under contract at the present time. We added some during the quarters, Ben mentioned in that one under contract as well, so call it 54%. The duration of the contracts is multi-year, typically two years you’d call in.
Neal Dingmann – SunTrust Robinson Humphrey: Okay. And then just Jim or Rick my follow up is just, you did have that, I guess the one major delay and there was some cost creep. The contracts, I guess that you’ve had are the new ones going forward. Did you have sort of inflation adjuster in there? And do you have any causes that if I guess, somebody doesn’t take some of these contracts at a certain point that they incur any cost just 209 will kind of covenants are in somebody’s contracts?
Richard Hubbell: Yes, in general, each of the contracts are different than our similarities. But the each will – up the more different, and yes, there are provisions in the contracts to pass along certain cost increases, again that varies by contract. The timing of the ability to pass those along vary somewhat as well. They’re certainly not concurrent, they are not monthly. Typically once or twice a year, we are able to sit down with the customer and demonstrate we’re incurring cost increases and apply the contract terms and adjust the pricing accordingly. So some of the creep that we experienced here in the second quarter will be recouped going forward.
Neal Dingmann – SunTrust Robinson Humphrey: Perfect. Thanks guys.
Richard Hubbell: Thank you, Neal.
Operator: Okay. And we’ll take our next question from John Daniel from Simmons & Company.
John Daniel – Simmons & Co. International: Hey guys. Just quickly on the horsepower, the 495 that you have at quarter end I think that you said. Does that include the fleet that was involved in the fire, and with that scrap and rebuild what’s the plan there?
Richard Hubbell: The number that we end at the second quarter, and we have eliminated that since those pumps are not available to work.
John Daniel – Simmons & Co. International: Okay.
Richard Hubbell: We will, and out of that directly replacing them, but clearly we have other additions coming on board. So –
John Daniel – Simmons & Co. International: Okay.
Richard Hubbell: They were pretty well the story.
John Daniel – Simmons & Co. International: Fair enough. Three tubing solutions seems pretty impressive and getting traction internationally. Do you anticipate that business seem to pulling through other products into the international market, particularly the frac and coil?
Richard Hubbell: John, I think there is that capability, yes. They have a very, very strong reputation vertices are clearly in how to manage directly to the horizontal completions. So I think there is – yes, I think there is that opportunity that certainly a big commitment is much easier to take a few tools and an experienced hand go overseas and they’re just taken into our fleet of pressure-pumping equipment, for instance. So it will be a longer term situation or opportunity, yes, I’m clearly seeing that as good, the interventional eventual outcome.
John Daniel – Simmons & Co. International: Okay. Last one from me. Just a quick one. The 2012 CapEx at this point, do you expect it to be in line with what you’re spending in ‘11? Any thoughts that would be appreciated?
Richard Hubbell: Maybe. At this very important time, I would say that certainly we’re always looking forward and planning ahead. Right now, I will tell you based on what we have directly before (inaudible) somewhat less than this year. But that’s all subject to again, we have opportunities and our valuation as we move forward. But clearly, we are still taking delivery as we indicated 55,000 horsepower early next year, we are taking delivery of the few coal units early next year. So it will still be a pretty healthy number. I don’t see any significant ramp from here.
John Daniel – Simmons & Co. International: Right.
Richard Hubbell: But I could see it being somewhere close that you’re right now I think the (inaudible) will be probably under rather than –
John Daniel – Simmons & Co. International: Fair enough. Thanks, guys.
Richard Hubbell: Thank you, John.
Operator: Our next question comes from Luke Lemoine from Capital One Southcoast.
Luke Lemoine – Capital One Southcoast, Inc.: Hi, good morning.
Richard Hubbell: Hey, Luke.
Jim Landers: Hi.
Luke Lemoine – Capital One Southcoast, Inc.: Just on the 90,000 horsepower being delivered this year, just trying to get a sense on the split between3Q and 4Q?
Richard Hubbell: Great question, of course. Jim, do you want to –?
Jim Landers: Yeah, sure, sure. Luke, this is Jim. It’s just about evenly split between 3Q and 4Q, although it’s a little more weighted to 3Q deliveries.
Luke Lemoine – Capital One Southcoast, Inc.: Okay. And then last quick one, what were the percent of revs from pressure pumping and coil tubing in the quarter?
Jim Landers: Pressure pumping was 54% of revenue and coil tubing was 12% of revenue.
Luke Lemoine – Capital One Southcoast, Inc.: Okay, great. That’s it from me. Thanks.
Richard Hubbell: Thanks, Luke.
Operator: And our next question comes from Andrea Sharkey from Gabelli & Company.
Andrea Sharkey – Gabelli & Co., Inc.: Hi. Good morning.
Richard Hubbell: Good morning, Andrea.
Jim Landers: Good morning.
Andrea Sharkey – Gabelli & Co., Inc.: So I was wondering if you could just talk about the 40,000 new horsepower that you are going to get delivered, I guess first quarter of 2012. Was that incremental to what you’ve ordered or just steps you’ve ordered just kind of getting pushed above word lead times lengthening things like that? Maybe just give us a sense of – if you’re changing or increasing your expansion of your pressure pumping fleet?
Richard Hubbell: Andrea we access 55 and –
Andrea Sharkey – Gabelli & Co., Inc.: Okay.
Richard Hubbell: . . Over the next year. And I think that number is up somewhat – I apologize, I don’t have in front of me. But what we’ve talked about before, we have added a few here and there, some of it is either directly or indirectly, because of that the fire that happens during the second quarter. And so, that all things being equal that was added back and no auction slight increases. We had planned and I talked here about the rotational pumps that we’ve anticipated that for quite some time. We have even some of our existing fleet is allocated to rotational, but we’re – a higher, not a high percentage, but a higher percentage of what’s being added over the next 12 to 18 months will be the rotational pumps. But most of it’s going to be incremental adding to revenue. But I think it’s a reality of this business that you have to have that backup pumps we realize that and plan for.
Jim Landers: Andrea this is Jim. Kind of in reference to the last time, we had a conference call. We are now quoting that our hydraulic horsepower at the end of the year is going to be a tiny bit lower than what we said is going to before like on the order of about 15,000 hydraulic horsepower. So that’s just the nature of slippage I mean, with all this – all this wearing we are doing, that’s not a big slippage. So that’s just to amend Ben’s comment, but just a little bit more color on the fourth quarter year end.
Andrea Sharkey – Gabelli & Co., Inc.: Okay, thanks. That’s helpful. And then the sequential increase in your cost of revenues, I understand your commodity cost creeping out and then the delay with one of your customers. I was wondering if maybe you could just give us a high-level sense of maybe on a percentage basis, half of that was commodities or quarter was commodities, and then maybe refresh our memory on what exactly the commodity costs are that hurting you guys?
Richard Hubbell: Let me maybe add sort of another way, I think it’s important we talked about the operational delays in the fire. We don’t like to make excuses, but I think it’s important to recognize that, we estimate that there was approximately $20 million of missed revenue due to those to those two instances, number one. Number two, we do have, we have the write-off obviously the net book value of the equipment that was lost in that fire, and that was about $3.9 million. But that’s reflected in the numbers in the second quarter as well. In terms of the cost increases themselves, it’s more of creep, it’s not hasn’t been tremendous, it’s something that we focus on, continue to focus on, we talked about quite a while. There are certain commodities that is increasing faster than others, roughly those are not the largest of our critical supplies. But there are some costs that are increasing pretty rapidly. But again, we have the opportunity perspectively under our contracts to pass at least some of those – zone.
Andrea Sharkey – Gabelli & Co., Inc.: Okay. That’s helpful. And then maybe if you could just comment on that you’re seeing. . .
Operator: Moving on to our next question John Lawrence from Tudor, Pickering.
John Lawrence – Tudor Pickering Holt & Co. Securities, Inc.: Hi guys. Good morning.
Richard Hubbell: Hey, John.
John Lawrence – Tudor Pickering Holt & Co. Securities, Inc.: I guess, just kind of backing up the numbers. Will it be reasonable to assume that margins will be flattish excluding the fires and operational delays and technical services quarter-over-quarter?
Richard Hubbell: Would have been?
John Lawrence – Tudor Pickering Holt & Co. Securities, Inc.: Yeah.
Richard Hubbell: Certainly would have been better.
John Lawrence – Tudor Pickering Holt & Co. Securities, Inc.: Okay.
Richard Hubbell: I don’t know. We spent a whole time trying to decide exactly what it would have been, but it would have been better and would have approximated yes, sure.
John Lawrence – Tudor Pickering Holt & Co. Securities, Inc.: Okay. And then I guess just on the pressure pumping side as well. A lot of your staff is not a 24 hour work (inaudible) speaks to big customer, but is there any way to get more capacity on 24 hour work?
Jim Landers: John, this is Jim. You’re right in your characterization of our pressure pumping capacity on a 24 hour work. It’s about 15% of our capacity being on 24 hour work at this point. Our understanding as you know, we are in Bakken, but we don’t see there was pressure pumping yet. Our understanding is that, that market is characterized by a lot of 24 hour work. So if and when we get in the Bakken for pressure-pumping, that’s one catalyst for increasing the percentage of work that we do with 24 hours. The others just depends on the customer, and their requirements and that sort of thing. So, very hard to predict with that one assumption.
John Lawrence – Tudor Pickering Holt & Co. Securities, Inc.: Okay. Great. Thanks a lot guys.
Richard Hubbell: Sure.
Operator: And Ms. Sharkey, I apologize. If you’re back in the queue to ask your follow-up questions.
Richard Hubbell: Yes. We want to hear back from Andrea. So. . .
Operator: And moving on to William Conroy from Pritchard Capital Partners.
William Conroy – Pritchard Capital Partners: Good morning, gentlemen. Thanks for taking my question.
Richard Hubbell: Sure, Bill.
William Conroy – Pritchard Capital Partners: Maybe just a quick follow-up. Just maybe nail down a little bit the impact of the delays and the fire. There really is a follow-on I think to John’s question. If you mentioned you maybe had $20 million of missed revenue, was that not replaced number one? And the second part of this is, is the $3.9 million equipment write-off, is that in the cost?
Richard Hubbell: The second question, 3.9 million is in the gain loss on asset disposal.
William Conroy – Pritchard Capital Partners: Okay.
Richard Hubbell: And was the revenue replaced, no. It was not replaced, it was missed. But we have – we are back to work with that particular customer. So in that respect, I guess it’s being replaced going forward if that’s responsible.
Jim Landers: Yeah, Bill, this is Jim. Just to add on about the missed revenue that wasn’t replaced, by the nature of the contract, we were committed to being with the customer and are now moving our equipment elsewhere and working with them to get going again. So that’s why we didn’t have the opportunity to go somewhere else with that equipment.
Richard Hubbell: Yes, kind of the nature of that contract work in. With respect to customer, we want to study the situation, lasted longer than we would have preferred but we are back to work now and that’s behind us.
William Conroy – Pritchard Capital Partners: Right. I think you just clarified, it wasn’t just $20 million but over to the extent, it was missed revenue with that contracted customer. It was – and you didn’t have the opportunity to redeploy the assets and maybe pick up some jobs – some spot jobs.
Richard Hubbell: That is correct. And it looks that this was the direct impact on our revenue of that situation.
William Conroy – Pritchard Capital Partners: Got it. 90 days ago on the call, you mentioned that you thought you could potentially breach prior peak margins. We got a couple of moving parts now obviously that come through 2Q. How do you feel about that statement or any stronger do you feel? Is it less likely, more likely, how do you feel about that?
Ben Palmer: We again as Rick dedicated, we are mostly focused on our returns on capital and those are – were doing extremely well. We measure returns over time, we don’t – we celebrate returns in the short-term that we realize, we have to do and generate those returns year-after-year. There is a lot of order that will be going under the bridge over the next three to five years and we’ll look back to see how we did. We’ve done very well historically and currently depending upon what timeframe do you measure, you measure the time, last 12 months or ‘11 calendar year. I would – terms are – they are higher than they have ever been. So we are very, very pleased with that and we are going to continue to work on this. Now, with respect to the P&L margins, we – that’s one way we measure ourselves, we certainly manage to that more of a short-term basis than a long-term basis. We’re not as concerned about trying to give back to peak margins, we’re concerned with – we try to maximize our margins, but again returns are what we really focus on. And to answer your question directly, I still think there is an opportunity to get our peak was just under 30% of few years ago. I think there is an opportunity to get there and I think I’m more encouraged today even than I was before in part because of how well coiled tubing performed. And it’s phenomenal in the quarter, I guess, if you extrapolate the change in the total revenue of coiled tubing from the first quarter to the second quarter yield, to see that we did have a phenomenal quarter. We are adding additional capacity in coiled tubing as we have indicated before and are really excited about the prospects for that service line and the margins on coiled tubing right now and for the foreseeable future are certainly nowhere of what they are in (inaudible).
William Conroy – Pritchard Capital Partners: That’s extremely helpful and I appreciate all of the perspective. Thanks guys.
Richard Hubbell: Thanks Bill.
Operator: And we’ll take our next question from Dimitry Dayen from The Goldman Sachs.
Dimitry Dayen – Goldman Sachs: Good morning.
Richard Hubbell: Good morning Dimitry.
Ben Palmer: Good morning.
Dimitry Dayen – Goldman Sachs: Can you give us a little bit more color on the cost inflation that we saw in the quarter? Which components of your cost structure saw the most and was it primarily in your spot business where you saw cost inflation creep up or more so in the contract side of the business?
Jim Landers: Hey Dimitry, this is Jim. First of all, you know costs are costs, whether they’re in the spot market or the contract market and there are ways to adjust with those, but there are different dynamics, as you know. So the cost creep was not segregated between one or the other. You’ve heard people in the industry have been talking about being net has gone up, that component of our cost has gone up a lot in the past number of months even on the – sort of 100% kind of order magnitude. Personnel expenses have gone up, but we’re still getting leverage on that on personnel expenses, but with that in mind, we’re having to do lot in terms of stay bonuses and things like that to retain people. Sand, different kinds of – there’s many different kinds of sand you use and different kinds of proppant and so it’s hard to make a blanket statement about sand or proppant. But certain kinds of proppant have been going up as well, some of which you get to markup pretty and some that you don’t. So it’s kind of a mix back there, so that’s basically the answer. Diesel fuel is going – has been up, has been high as well, we kind of reflect that, but (inaudible) diesel fuel.
Dimitry Dayen – Goldman Sachs: So I guess, the question – the question is that, these cost increases have they been mitigated entirely in the second quarter through price increases/pass through on your contracts? Or we are going to see some spill effect into maybe third and fourth quarter as you walk through adjusting for those?
Richard Hubbell: You’re right. Right. Under the terms of the contract, we are not able to monthly or immediately pass through cost increases that vary somewhat by contract. With spot work, we can adjust our discounts to some extent. On the contract work, the contracts have provisions that we will sit down with the customer periodically, usually that’s once or twice a year. And review where prices are, how much they’ve changed, and we then have provisions in the contract to be able to increase the pricing. So that is the ladder about the contracts that is a prospective adjustment not a current second quarter adjustment. And I would say that prices did probably increased a bit more in the second quarter then they did in the first. So that being said, under these contractual terms, third and fourth quarter will be where we’ll see the benefit of those price increases.
Dimitry Dayen – Goldman Sachs: Got it. That’s my one question, one follow up. Thank you.
Richard Hubbell: Thank you. Thanks.
Operator: And we have a question from Doug Garber from Dahlman Rose.
Doug Garber – Dahlman Rose: Good morning, guys.
Richard Hubbell: Good morning.
Jim Landers: Hey, Doug.
Doug Garber – Dahlman Rose: My first question is can you guys talk about the pricing environment within various markets, the oil versus gas market. Specifically, are you moving equipment to the Eagle Ford from the Haynesville? And if you do that, is the pricing constant or you’ve taken the discounts moving out of the Haynesville?
Jim Landers: Doug this is Jim. Yes, we have moves some pressure pumping equipment from the Haynesville to the Eagle Ford. We did that with the customer, and we did that probably a year or more goes our call. It’s been about 12 months. It’s kind of hard to make a blanket comment about pricing because of our contractual work. I think the spot market in West Texas is probably the most dynamic and a positive spot market for us that’s oil obviously. There is a lot of good work and some nice pricing in the Bakken, but just remind you and everybody, we aren’t doing pressure pumping work there yet. The contracts or the contracts as you know, they’re fixed prices other than for changes you can make for cost and other provisions volume things like that. But as Ben I think mentioned earlier, the pricing discussions that we’re having for where contractual work are better than the sort of existing contracts we have. So overall both we have commented already.
Doug Garber – Dahlman Rose: That’s helpful. And just a quick follow-up on, you said the contracting work is high. How was the contract work pricing compared to the spot market pricing?
Richard Hubbell: It’s very – understand the question. Typically the volume of revenue under the contract were – is significantly higher than spot work efficient working constantly day after day. We did very little, I can say it in another way, we did very little multi-well package spot work. Spot work is normally the old traditional, you had a job site for a day or two as opposed to under contract is on this horizontal place where your part were week or two at a time. So the utilization and the amount of revenue and cash flow and everything else generated on the contract work is higher than it is on the spot work. So the margins may be lower i. E. pricing may not be as good, good on both but the returns are very good. And again as we commented in his remarks that the revenues are less volatile than they would be under spot work. So we like that trade-off.
Doug Garber – Dahlman Rose: All right. Thank you. I will turn it back.
Richard Hubbell: Yeah, Thanks.
Operator: And we have a question from Scott Burk from Canaccord.
Scott Burk – Canaccord: Hi. Good morning, guys.
Richard Hubbell: Good morning.
Scott Burk – Canaccord: I had a question to ask, I wanted to ask about the rotational fleets you’re talking about. How do you manage that geographically? Do you just have one particular area that has easy access to that equipment or do you split that between geography side, you managed that?
Richard Hubbell: For the most part, it’s retained in one place. We’re always spacing with an (inaudible). And this rotational, we’re not talking about, pump goes down today. So we rolled in a replacement pump that these are planned rotation of the equipment. The equipment have been operating through a set number of hours and it’s a particular point where it is adding now at this point of the time to send it in to be rebuilt. So we’re bringing in a rotational pump. So it’s much more planned, much more staged, if you will.
Scott Burk – Canaccord: And I think it’s kind of new to us in the industry because these pumps are being used in a different fashion and served us a longer period than we have in the past. So we’ve just time to peeling away along and when they have been replaced, when they have to be completely rebuilt the – I think the important thing to keep in mind is we recognized that’s going to have to happen and we made allowances.
Richard Hubbell: I think also to not on that is, we have said and we believe that we have been started to do and setting up our existing fleet that we always had backup on the outside as well. So that’s very – component of executing this up being able to – not have – if a pump were to go down, you got a backup pump to come in immediately and typically back down off if it’s only a temporary shutdown, so we can have rotational pump to there for – when we decide we need to completely rebuild a piece of equipment.
Scott Burk – Canaccord: Okay. Terrific. And could you actually repeat the – what – the amount of horsepower delivered in the second quarter and what the total is right now?
Richard Hubbell: Total right now is about 495 that there would be 90 delivered in last two quarters, as Jim said it was about split 50-50, may be a little bit more coming in the third quarter and the fourth quarter.
Scott Burk – Canaccord: Okay, okay. And so the rotational would be just under the 7 or 8% of the fleet, and so these remain unserved. Thanks for that. And then one other question, wanted to – how much of – wanted to ask how much of your pressure-pumping capacity is on contract versus spot, what’s that split and then how long is the terms of the contracts generally?
Richard Hubbell: Right now, and I think I have spoken earlier, Scott, I was saying in the mid-50% range or 60% is on contract at this point. And these contracts have an average duration of around two years.
Scott Burk – Canaccord: And that the new line is actually all on contract, about 100% on contract?
Richard Hubbell: Yes, with the exception of the rotational equipment we’ve been talking about.
Scott Burk – Canaccord: Okay. So the – so that percentage should trend up over time?
Richard Hubbell: Slightly, yes.
Scott Burk – Canaccord: Okay. Thank you.
Richard Hubbell: Thank you.
Operator: And we’ll take a question from Rob MacKenzie from FBR and Co.
Rob MacKenzie – FBR & Co.: Hey guys.
Jim Landers: Hi Rob.
Richard Hubbell: I guess I wanted to come back to some of the questions about the contract versus spot work and while it’s been broadly known that contract pricing is lower than spot work, I was under the impression that the incremental utilization and lead time for planning of product deliveries and the like by signing those contracts more than outweighed that hit retail pricing in terms of increased operational efficiency. Is that not the case or what am I misunderstanding?
Jim Landers: Rob, this is Jim. We do believe that’s the case and still believe that’s the case. We have some operational pickups in the second quarter in our contract work, which made this quarter a bad example of that. The other thing just to keep reminding everyone is that, yes, there is ability to change pricing because of cost changes and things of that nature. But those changes are not – those are not simultaneous with regard to the expenses, not like we change every invoice. Now we go back to the customer every quarter, every six months, every year and say these things have happened, these changes have taken place, and we need to talk about the pricing adjustments. So nothing that happened in the second quarter has diminished our belief that these committed contractual relationships for a long period of time are the way to go.
Rob MacKenzie – FBR & Co.: Right.
Richard Hubbell: And I may have alluded say that the margins are lower whatever. Again the percentage margins may impact be lower. The industry as a whole and us included, that’s only been at this for a while. I think over time, we will get more and more efficient. We are – we work with our customers to try to squeeze out every efficiency, they’re interested in that, we are interested in that. That hate to be wish you wash you about it. But I don’t think there is significant differences. I don’t think it’s even clear right now to say this yes, my work is definitely by far much larger than contract work or vice versa. I think up to this point and given the events in the second quarter, I would say the contract work was maybe a little bit less than spot, but they are both very, very attractive. The times on capital are shingling of both, and we like to have a mix of those spot and contract. And that’s responsive and that is the way we do it. And we do think there is opportunities to play and deliver materials and spots and all those other things, but there is always lots of “operational challenges” and things that we have to deal with, and we’ll get better and better at it, and like where we are.
Rob MacKenzie – FBR & Co.: Great that was helpful. Thank you. And my related follow-up is coming back to the $20 million of deferred revenue you talked about, and you’re not being able to deploy those assets working elsewhere during that period. Was there something there vis-a-vis the contract structure that tied you in without the flexibility? And if so, is that something you guys may have risks of the other contracts? Or put in other way, how are you thinking about changing how you bid your contracts going forward based on your experience with this deferred revenue?
Richard Hubbell: Rob, the incident with the deferred revenue hasn’t changed anything (inaudible) that we think about contracts right now. The issue, the operational issue with the customer, we were – we’re hoping and hope is not a strategy. We are also strategizing and planning to go back to work a lot of time during the quarter. So even without any contractual provisions that made to stay there, we would have stayed there because we’re open to go back to work next week or whatever. So we needed to be there and didn’t have the chance to pull off and go anywhere else as much for our mutual business interests as what might have been contacted in.
Rob MacKenzie – FBR & Co.: Fair enough. Thank you.
Richard Hubbell: Yeah, sure.
Operator: And we’ll take our next question from Matt Beeby from Global Hunter Securities.
Matt Beeby – Global Hunter Securities: Thank you. Good morning.
Richard Hubbell: Hi, Matt.
Ben Palmer: Good morning.
Matt Beeby – Global Hunter Securities: With respect to the labor force and can you remind us the lead time required to step up. And you’re seeing that dynamic change, are you seeing that change in the last quarter or so?
Richard Hubbell: The time to step up, it’s the – it’s the Thomson process. So at this point, we don’t – we are not really doing it as long as it take to add a fleet. I mean we’re just adding people almost as quickly as we can to end up. It’s moment in time to leverage that, it’s a constant process that we go through. I would say that for us I think we have had some good moment in hiring people here recently. I don’t know that there’s any industry trend that I would say. I think some of that is just whatever good execution or wherever. But not really seeing lots of additional employee pools with commercial licenses or anything (inaudible) large trends in that regard, if that’s your question.
Ben Palmer: Well, we are getting better in recruiting. I mean the more we’re doing this and I think we’re just doing the better job.
Jim Landers: And Matt, this is Jim. And another follow-up answer to that is that these contractual relationships we’re talking about so much, they require a certain percentage of employees that can be greenheads and that percentage is low. So what we have been doing is we have been recruiting certain markets and sending those greenheads to other locations for rotational period so that they can get the experience they need, so when they come back we can meet up contractual obligations. So that’s a little bit of a different wrinkle operational force. I think I would also say that we are bringing those back more to quarter and how difficult it is to find the people. I guess the silver lining to our national employment picture is that a lot of people are now starting to plan to move to get a job in the well field. We had an employment there in North Dakota recently, we had people coming from far west have spoken Washington and as Far East is North Carolina. So, that doesn’t say great things about our national economy, but that is a bright spot that I would not have anticipated six months ago.
Matt Beeby – Global Hunter Securities: Okay. That’s very helpful. One more quick one Jim or Ben. Can you outline the coiled tubing addition, that I believe that there are some additions this quarter? And then, many a little bit more specific on that 2011, maybe the number and timing, I assume it’s 1Q that you could clarify that a little bit?
Richard Hubbell: Yeah. I’ll try to elaborate on that a bit. At the end of the first quarter, we had about 39 coiled tubing units. We added two in the second quarter, approximately 5 coming in, in the next six months. And another four in the first six months of ‘12.
Matt Beeby – Global Hunter Securities: Okay. It’s very helpful. Thank you, guys.
Richard Hubbell: And all of those of course are the larger diameter of units.
Matt Beeby – Global Hunter Securities: Okay. Thanks.
Richard Hubbell: Sure.
Operator: And next we’ll go to William Conroy from Pritchard Capital Partners.
William Conroy – Pritchard Capital Partners: Good morning again, guys. Following up on the rotational capacity. How should we think of the economics of that? I guess, the simple question is, do you get paid for it. If we are thinking in terms of pumping revenue per horsepower, does it just increase the denominator, and other costs associated with it besides just having the equipment?
Jim Landers: It is a rotational fleet for our company in total. So we don’t directly get paid for it. We did anticipate that this is nothing new, we didn’t know this is going to happen, it’s something we planned for. We already have a few pumps that you could go over rotational that are in the fleet. That way we look at it is we don’t play around the numbers, I mean our total available fleet is, whatever our total available fleet is. So we don’t try to reduce the number and try to calculate statistics of the lower number. And we believe we need to have many pumps to in total to service the customers that we have even 100% utilized. We knew to have those rotational pumps available. So there are going to be pumps that are pulled out of service for a period of time. So we’re not going to adjust the number up and down when equipment is being rebuilt. I mean we have whatever capacity we have and that’s the way it is. So again if we don’t (inaudible) directly, we did consider it and pricing our contracts over the last couple of years. We did know that was unnecessary cost and that would becoming and so it is not a surprise to us. And some I indicated earlier about 6% or 7%, I mean that’s really wide if you look at it is – poverty on fixed poverty with something around 5% or 6% and I think that’s what we sort of anticipate that we will need to have five to 6% of the working fleet will need to be available to support the equipment and might be down. So in other words, 5% to 10% of our fleet in any given time over the next 12 months is going to be down for repair.
William Conroy – Pritchard Capital Partners: That helps. Thanks, guys.
Richard Hubbell: Sure.
Operator: And we have a follow-up question from John Daniel from Simmons and Company.
John Daniel – Simmons & Co. International: Hi, guys. Thanks for pulling me back in.
Richard Hubbell: Sure.
John Daniel – Simmons & Co. International: I don’t need to jump on this part, but a follow-up on the contract. If you see the cost increases like you did in Q2, you then go this with your customers to try to adjust pricing on a go-forward basis. Are you able to quantify to your customers what the cost increase was in the prior period and did you get any sort of pickup like one-time payment where those cost increases or is it just a benefit going forward from when the prices are renegotiated higher?
Richard Hubbell: In general, it’s a go-forward. There are some provisions that do provide a pick up but in general, what we are talking with the cost (inaudible) more we go forward.
John Daniel – Simmons & Co. International: Fair enough.
Richard Hubbell: The answer to most of your questions is yes, we can quantify it.
John Daniel – Simmons & Co. International: I’m sure you can quantify. I mean actually an update, sometimes you can get pickups and go back in attractively increase prices. Separately, there is a quirky – do you have crews today for the 19,000 horsepower that comes in the second half or you’re in the recruiting process still?
Richard Hubbell: We are not fully staffed at that 19 today.
John Daniel – Simmons & Co. International: Okay.
Ben Palmer: John, I think we have I don’t want to see the number but we got some crews in rotational training right now that just on top of my head would probably step 19,000 of that – sorry, step probably a third of that 19,000.
John Daniel – Simmons & Co. International: Fair enough. Thanks, guys.
Richard Hubbell: Thanks. Thanks.
Operator: And we have a question from (inaudible).
Unidentified Analyst: Thanks, guys. I just wanted to make sure I’m thinking about this properly. Number one on technical services, you have the $3.9 million write-down, which – but obviously just be added right back to the operating income which gets me kind of the 28% margin. And then in addition to that, I want to make sure I’m thinking about this right. You guys lost the 20 million of revenue as it relates to the fire and the delays, which I’m assuming you guys had all the costs associated with that? And just trying to back into some math here looks to me like operating income margins and tactical services would have been 30% plus. Does that seem reasonable from a math perspective?
Jim Landers: Jason, this is Jim. Your – you – in math, but be minus in geography. The loss that we talked to – the write-up that we talked about is actually not an operating profit. It’s down in the gain-loss well.
Ben Palmer: It is an operating profit, but it’s not an operating profit of technical services.
Unidentified Analyst: Okay.
Jim Landers: We do not allocate gains or losses to specific segments. Does that make sense?
Unidentified Analyst: So where do they show up on the income statement? How about that?
Jim Landers: If you look in our press release back on page 3, we have revenues by technical sport than operating profit, technical services support and co-operating expenses then gain or loss from this position of asset.
Unidentified Analyst: So that’s showing, that was $78,000?
Ben Palmer: Right, so in there in that write-off.
Jim Landers: So in that number is a write-off of $3.9 million. There is nothing in that number. And that specific 3.9 relates to technical services. So it can be related to technical services.
Unidentified Analyst: Okay. So you guys had a gain elsewhere there?
Jim Landers: Yes.
Unidentified Analyst: Okay. Okay. All right. And then just thinking about next year’s from a CapEx perspective and Jim, I asked you about this. But you already going to have $55,000 in the first quarter, you have added well over I think $200,000 or will have added over 200,000 this year. I mean is it fair to think that you will add at least 200,000 in total next year of pressure pumping horse power, is that reasonable?
Jim Landers: No plans for that right now.
Ben Palmer: Yeah, what we know now – no, we don’t to plan to add that now.
Unidentified Analyst: Okay. All right. Thank you very much, guys.
Richard Hubbell: Sure. Thanks, Jason.
Operator: We now have a question from Brad Handler from Credit Suisse.
Brad Handler – Credit Suisse: Thanks. Good morning, guys.
Richard Hubbell: Hey, Brad.
Ben Palmer: Good morning.
Brad Handler – Credit Suisse: Similar to couple of questions about capital spending I guess but I want to approach it a little bit differently. So without trying to put you on the spot too much for, in early ‘12, how much do you expect pressure pumping to be as a percentage of your revenues? Is it similar to where it is today or is it growing or is it declining?
Richard Hubbell: No I’m not going to give you a revenue number. But that works out on capacity. With just the numbers we indicated, work it through. I think that earlier, between now and the middle of 2012, I expect our capacity of pressure pumping will be somewhere around expectedly 30% higher than it is today.
Brad Handler – Credit Suisse: Right. So the conclusion I think we’re all reaching as that your proportion is going up.
Richard Hubbell: Right.
Ben Palmer: Pressure pumping capacity is growing faster than other.
Brad Handler – Credit Suisse: Other capacity. So, okay, so I guess I’m curious with that as a backdrop. I guess I’m curious. Do you all have a view as to how much you want pressure pumping to be as a proportion of your business? Maybe over the medium term, I mean acknowledging your exploiting opportunities today. But two years from now, do you have a view as to how much rental should be your growth – should be yours or do you not – or are you agnostic, does not matter.
Richard Hubbell: Well, obviously it matters a little bit but I don’t think we believe we (inaudible) actually know what it’s going to be. We’ll try to put in a place assets where we can get the best return. So it’s the moving target, we’re pleased with the way we have executed to this point. We think the year from now we’ll also be pleased. And we do like diversification. If we said, yeah – if we say we want to get the 90% pressure pumping or whatever I think, we would say no. We want to be diversified and – but with that being said, I think it’s a growing percentage of and we’ll have to see it coming. We are going to react to the market, so there are long lead times on the equipments, so you can’t react overnight. But as Rick said, we’ll allocate to what we believe are the current and the future highest return opportunities.
Brad Handler – Credit Suisse: Right.
Ben Palmer: And we’ve added a whole new level – we’ve added a whole new level of complexity to our company and what we’re trying to execute every day. And I think from the general point of view, we would rather stop and take a breathe and do a better job in executing rather than to grow for the sake of growth.
Brad Handler – Credit Suisse: Sure, sure. That makes sense. You mentioned the coiled tubing is higher returns today? Well, it just have better margins, better returns in your view?
Richard Hubbell: Margins and returns today.
Brad Handler – Credit Suisse: Got you. Got you. Okay. All right. Thanks, guys.
Richard Hubbell: Thanks, Brad.
Ben Palmer: Thanks, Brad.
Operator: (Operator Instructions). And that it appears we have no further questions, I would like to turn the call back over to Mr. Jim Landers.
Jim Landers: Okay. Thank you, Nicole. We appreciate everybody calling in this morning and all the questions in the discussion. Hope everybody has a good day and we will talk to you soon. Bye, bye.
Operator: And once again ladies and gentlemen, that concludes today’s conference. Just as a reminder, the recording will be on the website within two hours following the completion of the call. Thank you. Have a nice day.